Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Agnico-Eagle Q3 results webcast conference call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. (Operator Instructions). I would like to remind everyone that this conference call is being recorded today, Thursday, October 28th, 2010 at 11:00 AM Eastern Time. I’ll now turn the conference over to Sean Boyd. Please go ahead, sir.
Sean Boyd: Thank you, operator, and good morning, everyone. We have our full team here in Toronto and prepared to answer your questions. What I’d like to do is go through some slides, some of them we’ll go through quite quickly. But I think we would characterize this quarter as continued improvement in our production. We saw a decline in our cash costs from the previous quarter, but there is still some work to do at a couple of the mines. But I think more importantly for us, we’re starting to see the cash flow generation ability now that we have six mines up and running. So I think we look at that as an important driver for us as we look for continued expansion and output in the coming years using that cash flow to expand output, but also to increase the dividend. And we’ve been asked after our announcement yesterday about dividends. And, if you recall, we paid 28 consecutive annual dividends. We decide on those dividends towards the end of the year, so we’ve kept the same schedule. So we will be announcing that mid December when we put out our five-year plan. In terms of the financial results, just moving through the slides, I think the biggest difference was Q3 to Q2 comparison, where we produced 28,000 more ounces or about 11% increase in production, and our cost went down about 10% or $46 per ounce. We saw a dramatic improvement year-over-year from last year to this year due to the production coming from the new mines that were commissioned in the last year. The key for us as we mentioned was the cash flow generation before working capital changes in the quarter of a $171 million. That’s a record. It beat the Q2 record of a $139 million. So that will be the focus as we go forward is generating not only gross cash flow, but also cash flow on a per share basis. In terms of production for the quarter, we had 285,000 ounces, which was a dramatic improvement from the prior year. As we look out through Q4, we expect a bit more production in Q3 at roughly the same costs. In terms of the cost side, our cash cost per ounce was $4.41. As we said, there is still work to do on the cost. And part of that will come from as we get into discussing each of the mines coming from increasing throughput or we’ll be able to reduce our cost per ton, we’ll have increased gold output and that should be reflected in lower unit costs. From the CapEx front, we’re right on target in terms of our CapEx spend for the year of about $500 million. From a financial perspective, we still have tremendous liquidity. We have got liquidity of about $1.2 billion with our large mostly undrawn credit facility. From the strategy perspective, there’s really no change. We’re focused on expanding production mostly from the existing asset base. And over the next nine months we’ll have the results of studies for Meadowbank, for Pinos Altos, and for Kittila, and we’ll be able to share the results of those studies which will result in increasing output as we look at not only optimizing, but also expanding the asset base. From an M&A perspective, we’re asked all the time what are we thinking there? Well, we’re thinking the same way we’ve been thinking for the last several years, earlier stage opportunities and opportunities that we can get positioned in maybe with a share position, and so we can help the company, advance their assets, and get a better sense of the risks and the opportunities associated with those assets. I think you saw in the quarter, we did have some profits from sale of investments. So we just don’t just buy, we also will sell when we determine there is no strategic advantage to continue holding either the property or the share position. As far as reserves go, we’ll have our reserve update in February, and that reserve update will be focused certainly on Kittila, but also on Meliadine where we’ve had some good drill results from the recent drill program. We’ll actually be putting out an exploration press release around mid December, which will provide an update on the drilling program, since our last update which was in September. From a production growth point of view, we still got some very good growth over and above the 2010 production rate as we move out through 2014, anticipating getting to about 1.4 million ounces and that wouldn’t include expansions in Finland and Mexico an at Meadowbank. And then beyond 2014, we’re looking at Meliadine as being a big part of our production profile beyond 2014. From a capital expenditure point of view, on this slide, really only includes the sustaining and what it takes us to build the current production base to get us to about 1.4 million ounces. We do expect to increase this CapEx for potential expansions and also for Meliadine. Just to give you a sense of Meliadine, I think it will be fair to say that the cost of Meliadine would be very similar to Meadowbank. We’re looking for a large tonnage operation up there in the neighborhood of 6,000 tons to 7,000 tons a day, with an open pit and underground component. So I think if you want to benchmark it, although we haven’t completed the study and the feasibility, it won’t be done for a couple of years. We’re still looking at I think it’d be fair to say CapEx in the neighborhood of Meadowbank. From a cash flow per share perspective and net free cash flow, this transformation of our business by building these mines has put us in a position to be among the industry leaders in terms of cash flow per share and free cash flow as you see on the slide. The operations; LaRonde continues to have exceptional performance, cost per ton on budget. It’s certainly benefiting from higher than budget byproduct prices, because we’re still producing some strong zinc output and some strong silver output. As we move forward into later next year and beyond, we’ll be able to access the higher grade gold from the deeper part of the mine. All of the infrastructure and construction to access that deeper material is on time and on budget. At Goldex, had excellent performance here. Our cost per ton in the quarter was CAD21 which was below budget. We've almost achieved the 8,000 ton a day target and we’re about six months of schedule there, had an extremely good quarter from a tonnage perspective. Cost per ounce below $300 an ounce, so exceptional on the cost per ounce side. Because we’ve advanced our development and we’ll have the ore body effectively all blasted by the end of this year we started development on the satellite zones and that will allow us to extend the mine life for having exploration results at Goldex and we expect to be able to add additional resources and reserves as we now turn to more of an exploration focus on this project where in the past the focus has been building the asset and building the infrastructure. At Lapa, we had very good performance. Our tonnage is exceeding plan. Cost per ton below budget. We are doing exploration there looking to extend the mine life. We have two exploration drifts moving to the east into open areas and that will give us drill platforms to look for additional mineralization along the main contact which hosts the Lapa deposit. At Kittila, again very good turnaround. We reached our design tonnage of 3,000 ton per day and we’re very close to design recoveries. Recoveries averaged 81%, actually almost 82% in the quarter. We’re anticipating 83% by yearend, so a record production because of the increased throughput and because the improved recoveries. We’re still optimizing there and we’re still focused on reducing our cost per ton. We continue an extensive drill program there as we drill the structure as it moves to the north and we’ll have an update on some of the recent exploration in December and that will be part of our reserve update also in February. We have a longitudinal section slide up. Just an update. As we continue to drill we continue to work on the expansion study which had been delayed by about six months as we worked on the recovery issue. We still expect to be in a position around midyear 2011 to update the market on the results of the expansion study. At Pinos Altos in Mexico, we’re continuing to ramp up throughput. We saw about an 8% bump in throughput to around 3,800 tons a day from the previous quarter. The two new filters are in place and running and that gives us some added flexibility to increase the throughput. We’re now moving into the underground mine where we have higher grades. Because of the increased throughput we did record quarterly production at Pinos Altos. Looking out into 2011, we hope to see increased throughput, but also the start of the Creston-Mascota property, which is the first of what we think maybe several satellite deposits being built. That project remains on time and on budget, and we expect production in 2011. The cost per ounce were higher than we had hoped. We had one-time stockpile adjustment which is about $90 an ounce, so the $690 figure isn’t truly representative, we talk about that in the question-and-answer. We also had not accrued a midyear bonus which is anything about $40 an ounce or so. So we expect unit cost to come down here as we increased throughput and as we get access to higher grade material as we move into the underground part of the deposit. At Meadowbank, we did see increased tonnage, but we’re still below the design capacity of 8,500 tons a day. We have a temporary portable crusher installed. We’re seeing improvements from the third quarter. So we expect our cost per ton to come down at Meadowbank as we increase the throughput up towards designed capacity, that will increase gold production. And we’ve only really to be fair to them, we’ve only really had two quarters of commercial production, so we’re still optimizing the mining operations, we’re still optimizing processing, we do see better equipment availability, we’re improving on maintenance, we have larger equipment now in place, and all of that should help us reduce our cost per ton, but there is still works to do and that’s the major focus of the company is to reduce our cost per ton at that operation. At Meliadine, we touched on it earlier. We look forward it to be a big part of our production profile beyond 2014. As you know it’s a 5 million ounce deposit, it’s characterized by very good grades, we’ve had a successful seasonal of drilling where we’ve drilled successfully outside of the non-mineral resource outline and that will be part of the update in February in terms of reserve resource and it will also be part of the update in December when we provide that exploration update. So that’s a quick summary of the slides and run down of our quarter. And we’d like to open it up for questions.
Operator: Ladies and gentlemen, we will now conduct the question-and-answer session. (Operator Instructions). Your first question today comes from Michael Curran with RBC Capital Markets. Please go ahead.
Michael Curran: Good morning, guys. I just had a question on unit costs at Kittila. It looks like you've resolved the recovery issues so I think you have the process sorted out. So of the EUR58 per ton operating costs, what percentage of that would be from the plant, the milling? Is it half, is it more than half?
Ebe Scherkus: Ebe here. The milling cost would be about 35%.
Michael Curran: Okay, great.
Ebe Scherkus: That includes mill services and milling, both together.
Michael Curran: Right. And then just a quick one on Lapa, can you give us a sense of the dilution improvement, the cost coming down there, what are you seeing in the way of the percentage dilution these days?
Ebe Scherkus: The average dilution for the year so far has been 53 and we planned 50, so that’s down significantly from the over 60 we had last year at this time.
Michael Curran: Great, thanks a lot.
Operator: Your next question comes from John Flanagan with Fundamental Equities. Please go ahead.
John Flanagan: Sean, I think you're on US GAAP, is that correct?
Sean Boyd: Yes.
John Flanagan: Is it possible that you will follow others in your industry and shift over to the new international GAAP? And if so, what impact might that have?
Sean Boyd: I’ll turn it over to our CFO. The plan was to stay on US GAAP and not go onto IFRS. It has some accounting implications. But I’ll turn it over to Ammar Al-Joundi, our CFO.
Ammar Al-Joundi: Hi John.
John Flanagan: Hi.
Ammar Al-Joundi: Right now, we are US GAAP. Obviously there is a discussion of convergence in the future and we will follow that. But right now we’re under US GAAP. The fact that we’re under US GAAP makes our costs frankly look higher than they would under IFRS, largely because of the stripping. We take all of the stripping against as an expense rather than being capitalized. That impact for us right now in the neighborhood of $15 an ounce.
John Flanagan: Thanks a lot.
Operator: Your next question comes from David Haughton with BMO Capital Markets. Please go ahead.
David Haughton: Yes, good morning, and thank you. Sean, you had mentioned during the question time you talked to the Pinos Altos cost, a couple of one off weird things there, so perhaps this is the opportunity to run through some of your thoughts and whether these are really one off or can we expect to see them in future years?
Sean Boyd: Perfect. I’ll turn it over to Ebe.
Ebe Scherkus: Good morning, David.
David Haughton: Hi.
Ebe Scherkus: Several of these adjustments are one off. One, the stockpile adjustment; we lowered the stockpile inventory, that’s the first thing, by about a 100,000 tons. And then the material that we did place on the stockpile was lower grade as well. So we’ve reduced the value and took a charge for the reduced value of the stockpile. So this would be a one-time charge. As far as the bonus that we paid in all of our other operations, that was accrued across the 12 – over the 12 months, whereas at Pinos Altos they took a one-time charge end of this quarter, so that won’t happen again. Also what we have done is we’ve moved more material, waste material. With respect to prestripping over this quarter, it’s accelerated. We are actually ahead of plan, so that has been also expensed, but on a life of mine basis we should see those cost come down in the subsequent years. So those are the three main items that occurred. The other outstanding issue would be increased maintenance still on our filters on the back end of the mill. But now with spare – two additional spare filters, we expect that to come down significantly as well. So these were some of the issues that we faced in the third quarter at Pinos Altos.
David Haughton: All right. And also there you had made reference to transition to some underground mining.
Ebe Scherkus: Yes.
David Haughton: I was wondering what kind of ramp-up should we anticipate there?
Ebe Scherkus: Well, we were – I would say over the next couple of months we should be somewhere in the neighborhood of 200,000 tons per day. We have already had several base where we were able to mine or produce 300,000 tons a day from underground. Presently we are still in an area where there are more artisanal workings than what we had expected on our survey plans and so the odd time we get thrown a curve and we delay a mining block because we have to fill – backfill these artisanal workings. But we've gained control of that, our development is ahead of plan. The stopes are developed so we foresee an excellent ramp-up by the beginning of the first quarter of next year we should be in the 2,000 ton to 3,000 ton per day range.
David Haughton: And are you seeing similar grades there to the open pit?
Ebe Scherkus: No. The grade will be significantly higher in gold and silver. The reason our grade is down in the open pittable material is not because of Santo Nino but because of the upper part of Oberon to Weber which is lower grade than in our block model.
David Haughton: Similar questions for Kittila with regards to underground there just starting in the current quarter, what's your ramp-up and grade expectations going forward?
Ebe Scherkus: Well, we’re actually processing underground or as we speak Kittila ramp-up will be slower than Pinos Altos. We still have the pace backfill plan to put in, so we’re backfilling it with cemented rock fill, but we expect to have about 30% to 40% of our ore next year from Kittila underground.
David Haughton: And to get that kind of level, are you anticipating similar grades at the underground to the open pit or would you have better grades? What kind of split should we be thinking about?
Ebe Scherkus: The grades will be similar. There is not a variation vertically as there is at Pinos Altos. We saw that in our block model from the open pit to underground. The underground grades will be similar in the 5 gram, 5.5 gram per ton range.
David Haughton: And that means then we should be looking at something like 300,000 tons to 400,000 tons for the year from the underground?
Ebe Scherkus: Yes, to start, and then within about two years, it will be totally underground.
David Haughton: Okay. Just looking at the balance sheet – at the P&L now, the exploration expense was a little bit higher than what we've seen in previous periods as far as the rate. Would we expect to see more expense versus capitalized going forward or how should we think about that?
Sean Boyd: More expense certainly in the fourth quarter, because we still have a balance of the much larger 2010 budget to spend in the fourth quarter.
David Haughton: All right, thank you. That’s my questions for now.
Operator: Your next question comes from a private investor by the name of Richard Herman [ph]. Please go ahead.
Richard Herman: My question is about the quantitative easing program that the Federal Reserve in this country is about to begin, that depending on the number of billions of dollars or trillions of dollars that will be coming into our economy here over the next six months or so will have probably a negative effect on the value of the dollar, which would be a positive effect on gold prices. But my question is basically, what negative effect would that have on your company specifically with respect to the currency devaluation vis-à-vis the Canadian dollar, the Finnish currency and the Mexican dollar and also on your overall cost of production?
Sean Boyd: I think if you look at sort of the last few months where we have had some weakness in the US dollar, we’ve only had modest strengthening of the Canadian dollar. And so I wouldn’t anticipate if we get a big QE2 package and we have further weakness in the US dollar, I don’t think we’re going to see a significant strengthening in our other sort of operating currency. So we don’t think it’s going to have any negative impact if we see a big QE2 initiative, we can just see positives because of its impact on the gold price.
Richard Herman: Thank you.
Operator: Your next question comes from John Tumazos with John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Congratulations on the huge profit margins in output. As we look forward the next five years or so, how should we expect the operating cash flow to break down between dividends, let's assume share repurchases don't happen because you want to grow, and reinvestment in existing mines and projects already defined as opposed to new projects?
Sean Boyd: I’ll try to answer that John. I think we’ve been fairly consistent and we based this off of sort of ramping up to sort of 1.4 million ounces by 2014 with the expectation that we have some expansions of the current production base in place. So if you anticipate some expansions over the next sort of five years plus some CapEx from Meliadine, which would come in late 2015, you’d be looking for sort of average production over that sort of five-year period of maybe in the 1.4 million ounce range, you’d be looking at EBITDA of about $1 billion or so. We’ve ballparked our CapEx for expansions and from Meliadine over that period of maybe $400 million a year for four years to five years, so you’d still see a significant wall of free cash flow there. We haven’t set a dividend we’re going to through that process now during our budgeting for next year and our five-year plan which we’ll put out in the middle of December. But from a dividend perspective, we’re paying $30 million now which is very small compared to the cash – free cash flow generating capacity of the asset base after building all these new mines. So we should see a nice bump in the dividend. We’ve certainly – we’re certainly focused on our pipeline, in the pipeline now is the expansion plus Meliadine. We have capacity for another project so we continue to look at opportunities there. What we’d like to do with some of that cash is continue to make cash investments in other sort of promising situation that we see and those cash investments maybe in the third of $25 million to $75 million. So we’d like to use some of that cash to position ourselves in those situations, very similar to what we did with Ritter Hitton, and we did it in a little way with Cumberland. So that’s how we see it, but we don’t have definite percentages now of what we’re going to do with that net free cash flow.
John Tumazos: Do you think a bump in the dividend, Sean, as a double or a triple in the dividend, given that the dividend is sort of more a one mine than a six mine dividend?
Sean Boyd: It’s hard to say. It’s really up to the Board. I think you know how Mr. Pena used to treat the dividend and we used to pay dividends when we didn’t have the money to pay them in the old days and I was even the CFO back then, so it’s a little bit more disciplined this time. But the big difference being now and then is we have much more cash available to us to pay the dividend. And I think all we can say there is that like hedging, most people eventually come around to our position and we paid a dividend for 28 years and everybody wants to pay a dividend now-a-days, so we were the leaders in that, among the leaders in paying a dividend, so we’re proud of our record. So we like to pay dividends and so that will be our bias as we consider it.
John Tumazos: Sean, do you view a doubling in the 1.4 million ounces or 3 million ounces plus kind of size a good thing or would you rather the organization be smaller and very high quality mines?
Sean Boyd: Smaller and very high quality, and that’s part of the strategic exercise we’re going through right now with the Board, because we’re at the tail end of a five-year plan which transformed the business. And so as we look out we can actually see the ability to grow a 1 million ounce production days currently over the next 10 years and do it consistently sort of year-on-year. In order to do that as we said, ideally we’d like another project in the platform. And one of the things we try to avoid as a magic number – so we won’t sort of post a magic number out there, because if you try to reach for a magic number, you can tend to get yourself in trouble. So we’ve never as you know viewed it as a race. So we would like to just continue in a very measured focused way drilling our current deposits, taking advantage of expansion opportunities as those deposits grow and making quality investments in early-stage opportunities where we can sort of bring some of our expertise to the table whether as an investor early on or whether we take the entire asset. But more sort of smaller, not bet the company type of things I think will get us in the right position. Really what we try to do is take something that has a low NAV and try to build that NAV and then get our higher multiple attached to the growth in the NAV of that story.
John Tumazos: Thank you.
Operator: Your next question comes from Anita Soni with Credit Suisse. Please go ahead.
Anita Soni: Good morning, Sean.
Sean Boyd: Good morning.
Anita Soni: Congratulations on a good result this quarter.
Sean Boyd: Thank you.
Anita Soni: May question is just – I have two questions. First off, the cost per ton at Goldex, how will that be reduced now that you're almost completed the blasting there?
Sean Boyd: I’ll turn that over to Ebe. It’s cost per ton at Goldex, Ebe, how will that look going forward?
Ebe Scherkus: Good morning, Anita.
Anita Soni: Good morning.
Ebe Scherkus: The cost per ton will decline slightly by about $1 or so. We will be expensing some of the development on the satellite zones, but we do expect a decline of about 10% going forward.
Anita Soni: And then, the second question is with respect to year-end reserves and resources. So the target out there is 20 million ounces to 21 million ounces. Your last reserves were at 18.4 so that implies a good 10% bump this year. Are you on track to achieve that?
Ebe Scherkus: So far we are Anita. We’ve had some excellent growing success at Kittila. So Kittila is on track. So we’ve got a bit of work to do between now and the end of the year, when we will be recalculating, but we did a recalculation in the middle of the year. And so far we’re on track.
Sean Boyd: I would just add to that, Anita, I think the way it’s likely going to unfold because we have delayed the Kittila study by six months, I think what you will see is the number will come out in February and then get updated again in the middle of the year when the study comes out, because we have deeper resource there that we can’t move into reserve unless we have an expansion study completed. So I think you should look at it now in two stages. The first stage being February and the second stage being midyear, and the midyear update would take you likely nicely above the target. So what we would do is before – we are likely in a position in February to add some of Meliadine to the resource, to the reserve, but not the deeper material at Finland, because we haven’t completed the 43101 feasibility study. So I would look at it in two stages next year.
Anita Soni: Okay, so the February update may or may not get you to the 20 million ounces?
Sean Boyd: No, it should.
Anita Soni: Midyear, okay.
Sean Boyd: It should with Meliadine.
Anita Soni: All right.
Sean Boyd: Because we’ll be able to convert because we’re working on an economic study there, it may not be ultimately how we can figure that mine, but it is economic. So I would suspect that when we add Meliadine, we’ll be over the 20 million ounce, and then we’ll have another update in midyear once we get the feasibility study done on the Kittila expansion.
Anita Soni: Okay, thank you. And then just on one last question. I came into the conference call a little bit late. And were you mentioning anything in terms of smaller asset divestitures?
Sean Boyd: Well, what we’re just trying to do is just provide some color on our thinking with respect to the strategy and the strategy is to still continue to make investments – strategic investments in situations that we think have some upside and we have a willing sort of partner, but we cannot just put our money on the table, but also provide some technical expertise. And a perfect example of that was Ritter Hitton. But on the flipside, what I was mentioning is we did some profits on the sale of some investments in the quarter and really what demonstrates is that we do have a very active portfolio for removing things in and out.
Anita Soni: And which assets were those?
Sean Boyd: I don’t want to say right now on one of the stock positions that we sold, because we still have part of that position.
Anita Soni: Okay.
Sean Boyd: So I just don’t want to telegraph that.
Anita Soni: All right. Do you still own – I’m sorry the West – what's that one called that’s attached to Westwood? There you have a small reserve and I've forgotten the name of it, but it would be somewhat close to the Westwood property of IM Gold.
Sean Boyd: We have the Ellison property –
Anita Soni: That’s right, yes.
Sean Boyd: Which is right next door to Westwood.
Anita Soni: Okay, you still own that.
Sean Boyd: Yes, we still own that.
Anita Soni: Okay, thank you very much.
Sean Boyd: Okay.
Operator: Your next question comes from Steven Butler with Canaccord Genuity. Please go ahead.
Steven Butler: Good morning, guys, almost afternoon. Question for you on Meadowbank, Ebe, you alluded to or suggested here that throughput is actually coming closer towards 8,500 tons per day, I'm not sure if it's there yet or not, but the two temporary portable crushers, when were they installed? I think it may have been installed when we were there in June, I can't recall. And so you saw an increase in production in Q3 from Q2 which is good on the throughput, but still well below 8,500 tons per day. But are you on track for that and can you get there with those two portable crushers before the mainstay is there next year? Thanks.
Ebe Scherkus: Good morning, Steve. Yes, we feel that we will be able to get somewhere between 8,000 and 8,500 tons per day before the end of the year. We’ve got some other grinding issues on the SAG mill that we have to resolve. But one thing is certain that it’s a maintenance on the portable crushers over a week ago and we saw a drop of anywhere between 75 tons per hour to a 100 tons per hour, so we know that works. And, therefore, we also know that the permanent solution which is currently under construction and will come on screen at midyear next year will work and resolve the issue, and will also lower the cost per ton. Currently we’re paying in the neighborhood of $4.50 to $6 per ton to crush this material and we are not crushing 100% of the ore, whereas with the permanent installation which is very similar to the one that we installed at Goldex, we will crushing all of the ore.
Steven Butler: Okay, that’s good. Thanks for that clarification, Ebe. Bye.
Operator: Your next question comes from John Bridges with JPMorgan. Please go ahead.
John Bridges: Good morning, Sean, everybody. Just wondering, you've given a great color on the expansion projects with your front line mines, but just wondered what the very longer term plan was with LaRonde now? You've got the expansion project, extension project coming on, that's a pretty target rich environment. Has there been any developments there as to what happens after the extension or are there opportunities to put some ink there in parallel?
Ebe Scherkus: Good morning, John. LaRonde extension is on plan, on budget, and on schedule. We expect to have the first production from it in Q4 of next year. The deposit is open at depth we do know that. And like any of our other projects we want to get all of infrastructure in, get it built. Currently, we’re excavating the crusher room and the maintenance facilities and the ore silo. But once that is done we have ideas or plans to grow the deposit at depth, so that will happen once we start ramping up production, very similar to what we did in the early ‘90s at LaRonde, very similar to what we’re currently doing at Goldex and Lapa.
John Bridges: Okay, great. And congratulations at Goldex, that’s [inaudible], isn’t it?
Ebe Scherkus: Thank you.
John Bridges: Thank you.
Operator: Your next question comes from David Christie with Scotia Capital. Please go ahead.
David Christie: Hi guys. Just quickly on the LaRonde extension, just wondering what the grade is supposed to be next year and how much of the ore will be coming from the old part of the mine versus the new part?
Ebe Scherkus: We’ll be – it will actually be very similar to this year David, because the ore from LaRonde extension is back ended towards the end of the quarter, so it won’t make a significant difference. So we’re just going over the mine plan and budget now. So it should be a very similar year to this past year.
David Christie: As far as grade.
Ebe Scherkus: And then we start ramping up.
David Christie: Okay. So there’s more – you move into more and more ore from the deep part of the mine as the year goes on kind of thing?
Ebe Scherkus: Yes, but the first production stopes will be in the fourth quarter. We’ll have preproduction ore, development ore, things like that which really in the big picture isn’t significant, but then the first blocks will be coming on stream in the fourth quarter.
David Christie: Great.
Ebe Scherkus: And then anytime you develop a pyramid, it’s always a bit slow until you’re still – once you start building up the pyramid.
David Christie: Okay. And how has the [inaudible] been down there so far?
Ebe Scherkus: We have had no ground conditions. It’s been very, very surprising. There’s been no really significant increase in seismicity and as a result the development is on track. Even the larger excavations like maintenance facilities we really haven’t had any problems whatsoever and that’s a tribute to our ground control programs and engineers at LaRonde they’ve done a great job for us.
David Christie: Perfect. The other question just on Goldex, I can't remember the name of the new zone you discovered at depth there below. But are you going to have some of that in reserves do you think by the end of the year?
Ebe Scherkus: No, we won’t David, because there is a lot more drilling to be done at depths, like we’ve got some interesting thick intercepts. It’s got the potential to grow so before we are able to do anything, we’d like to fully delineate the zone, and we’re drilling it right now and then be able to do a resource estimate on it, and then conduct or complete a feasibility study. But there are thicknesses in there that are similar to the Goldex extension zone.
David Christie: It does look good. Okay, thank you.
Ebe Scherkus: You’re welcome. Your next question comes from Greg Barnes with TD Securities. Please go ahead.
Greg Barnes: Yes, thank you. Ebe, what do you think cost per ton are going to be at Meadowbank going forward once you get the secondary crusher installed?
Ebe Scherkus: Well, we are hoping to get our tonnage rate – our ton cost per ton down into about the low $60, $60 per ton range. We have some other issues to resolve there as well. I think we’ve made head weight with respect to mine performance, equipment availability, we’re starting to reduce contract workforce, so that is our objective. And we’re going through the budget process and mine plan right now. What we’re also looking at Meadowbank is accelerated stripping for the coming years, so we might be expensing a significant part of that. But in the life of mine, the total quantities that we will be moving will not have changed.
Greg Barnes: Okay. You did mention in the press release you had problems with equipment availability and other issues during the quarter. What were they?
Sean Boyd: Ebe, he’s just wanting to know about equipment availability.
Ebe Scherkus: Okay, the equipment availability was, we had issues with the shovels, shovel performance; we had issues with drill performance, some of the availabilities were down in the low 40s, 25%; and then we also had some issues with the truck, so generally with the whole mining fleet. And that was largely due that some of the maintenance facilities for those that came out of the opening saw they were completed in June. And as a result now we have a fully equipped maintenance facility and we’re able to tackle some of these maintenance issues. Of course, last year, we just had temporary facilities, and with the weather conditions being what they are on the Canadian Arctic, the working conditions, et cetera were less than ideal. And so we accumulated a backlog of maintenance that had to be conducted and in the process we are catching up. And more importantly, we’ve had new equipment deliveries, we’ve had 150-ton trucks delivered in this quarter, we’ve had an additional shovel. So that will provide us with more flexibility and more reliability going forward. And then, of course, we got one year of operating experience in an arctic environment.
Greg Barnes: Okay, it was pretty comprehensive, thank you.
Operator: Your next question is a follow-up from Richard Herman. Please go ahead.
Richard Herman: This question is primarily about debt management. And I'm wondering first of all if you anticipate any further significant drawdowns on your credit lines or issuing new debt? And follow-up to that is how do you feel about the current level of your debt equity ratio?
Ammar Al-Joundi: Hi Richard, it’s Ammar here. We are generating a lot of cash. We expect to continue to generate a lot of cash certainly enough to fund all of our internal projects with Sean identified available cash to increase potentially the dividend as well. So we do not anticipate drawing down materially under our facility and we are quite comfortable with the liquidity we have.
Richard Herman: I have one follow-up question if I may. With the price of gold continuing to go up, the junior miners out there may be a little bit more attractive even though they may not be in production and only have reserves and I'm wondering if you have a screening process and could even take a look at those on your radar screen from time to time for any possible acquisitions of gold or zinc or other reserves?
Sean Boyd: Well, that’s sort of an ongoing part of the business, where we have our operators and mine builders participate in assessments of smaller opportunities, so that’s still a big part of our strategy. So that is ongoing as part of the strategy.
Richard Herman: Thank you.
Operator: Your next is a follow-up from Anita Soni with Credit Suisse. Please go ahead.
Anita Soni: Hi. This is just a question for Ebe. Is there a maintenance shutdown at Kittila scheduled for the fourth quarter and how long will that be?
Ebe Scherkus: No, we have the shutdown at the beginning of October, so the next schedule shutdown is scheduled for April of next year in the autoclave. So we expect to have continuous operations from here on in.
Anita Soni: Okay. So October is always fourth quarter.
Ebe Scherkus: Yes, and we’ve already had it.
Anita Soni: Yes, so can you tell me how long it was?
Ebe Scherkus: It was about just over a week to nine days.
Anita Soni: Okay, thank you.
Operator: (Operator Instructions). Your next question comes from Tanya Jakusconek with National Bank Financial. Please go ahead.
Tanya Jakusconek: Hi, thanks. I just have a couple of questions, and I'm sorry, I got on the call late, and it was fading in and out. Sean, I got in when you were talking about Q3. Were you mentioning that Q4 was supposed to be similar to Q3 operationally?
Sean Boyd: We're saying production is slightly higher with around the same costs.
Tanya Jakusconek: Okay. And then just on the news flow that's coming through in December, I think you talked a little bit about making a change on the dividend policy. Your life of mine plan is coming out, I think an exploration update –
Sean Boyd: That’s correct.
Tanya Jakusconek: Kittila and Meliadine. Any expansion plans at all?
Sean Boyd: Not the major expansion plans. The major expansion plan will be Kittila.
Tanya Jakusconek: Midyear, mid 2011, yes.
Sean Boyd: Yes. So I wouldn’t think in our December, we'd be incorporated. We delayed Meadowbank as well, as we worked on the commissioning over the last six months, so that will be coming out earlier in 2011.
Tanya Jakusconek: Okay. And then I guess the reserves and resource is coming out in February?
Sean Boyd: Yes.
Tanya Jakusconek: Okay. And then just lastly, just on – I remember you used to own some of the Gold Corp warrants, have those been sold?
Sean Boyd: No, we still have those.
Tanya Jakusconek: Okay. Okay, perfect, thank you.
Sean Boyd: Thank you.
Operator: Mr. Boyd, we have no further questions at this time. Please continue.
Sean Boyd: Thank you, operator. Thanks everyone for participating in our call and I think look forward to the update in mid December for the five-year plan and the dividend. Thanks.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for your participation. You may now disconnect your lines. 